Operator: Welcome to the Colliers International third quarter investors conference call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance, or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Securities Administrators and in the company's annual report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, November 4, 2025. And at this time, for opening remarks and introduction, I would like to turn the call over to the Global Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator. Good morning, and thank you for joining us for the third quarter conference call. As the operator mentioned, I'm Jay Hennick, Chairman and CEO of Colliers. And with me today is Christian Mayer, CFO. This call is webcast and available in the Investor Relations section of our website, along with the presentation slide deck. Colliers delivered excellent third quarter results, highlighting our momentum across all segments of our business. In Engineering, which includes project management and program management, we achieved impressive growth this quarter. This was driven by both strategic acquisitions, 7 completed so far this year, as well as robust organic performance. With a strong pipeline ahead, we are well positioned for continued expansion. In just 5 years since entering the Engineering sector, we have established a significant multidisciplined global platform. This business now generates over $1.7 billion in annualized revenue and employs more than 10,000 professionals. Our unique partnership philosophy and decentralized operating model sets us apart and enables us to continue to capitalize on compelling growth opportunities in this rapidly expanding industry. Real Estate Services also delivered excellent results, marked by a surge in leasing and capital markets transactions. While capital markets recovery has been gradual, we anticipate an increase in business activity as interest rates stabilize and investor confidence builds. This brings positive tailwinds to our business. We're excited about unifying our operations under the Harrison Street Asset Management brand. And while meaningful change takes time, our plan will strengthen our business and deliver meaningful value to our shareholders. Operationally, our Investment Management business is highly resilient. Over 85% of our funds are held in long-dated or perpetual investment vehicles, generating long-term and predictable earnings for our shareholders and top-tier investment returns for our investors. Assets under management finished the quarter at $108 billion, a 10% increase from last year, reflecting the success of our acquisition strategy and solid fundraising momentum to date. Harrison Street has multiple products in the market with new vintages of our flagship funds launching later this quarter and into 2026. These initiatives are expected to drive ongoing revenue growth through next year and beyond. With $9 billion in dry powder across the organization, we are well positioned to deploy significant capital on behalf of our investors. Colliers with 30 years of visionary leadership and 3 powerful growth engines has become a resilient and highly differentiated professional services and asset management company, a company that is well positioned to continue to seize opportunities and deliver lasting value for our shareholders. Now let me turn things over to Christian for his financial report, and then we'll open things up to questions. Christian?
Christian Mayer: Thank you, Jay, and good morning, everyone. As a reminder, all non-GAAP measures referenced today are defined in the materials accompanying this call. Revenue growth figures are presented in local currency terms. Our third quarter revenues were $1.46 billion, up 23% year-over-year. Our Engineering and Real Estate Services segments led the increase from a combination of internal growth and recent acquisitions. Overall, internal growth for the quarter was 13%. Adjusted EBITDA was $191 million for the quarter, a 24% increase from last year. Real Estate Services segment revenues increased 13% overall. Capital markets were up 21%, reflecting sales growth in all geographies and in all asset classes with particular strength in the U.K., Japan, and Canada. Debt finance activity was also strong, particularly U.S. multifamily originations. Leasing revenues were up 14%, also led by the U.S. and driven by industrial and office as well as data centers. Outsourcing revenues increased 8% for the quarter with our valuation and advisory practice leading the growth. Segment net margin was 11.3%, up 180 basis points year-over-year on solid operating leverage from higher transactional revenues, partly offset by continued investments to strengthen our geographic and asset class capabilities. Engineering net revenue was up 36%, fueled by acquisitions and internal growth of 6%. The infrastructure and transportation end markets delivered notable revenue gains in the quarter. The net margin was 15.2%, slightly lower than last year, mainly due to service mix. Our backlogs continue to be solid across our geographic markets, giving us visibility and confidence as we look ahead to 2026. Our Investment Management net revenues increased 5% due to the favorable impact of the RoundShield acquisition and higher fee-paying assets under management. However, the net margin declined slightly to 42.3%, primarily due to additional costs incurred as we integrate operations under the Harrison Street Asset Management brand. We expect these costs will continue for the next 2 to 3 quarters and will modestly impact our margins as a result. In the third quarter, we raised $1 billion in new capital commitments. Since quarter end, we have raised an additional $1.2 billion, bringing total year-to-date fundraising to $4.4 billion. As Jay mentioned, we have several funds currently in the market, including one significant new vintage launching in the coming weeks. For the full year, we expect to come in near the midpoint of our $5 billion to $8 billion fundraising target. Assets under management totaled $108.3 billion as of September 30, up 5% from June 30, driven by the recent acquisition and new capital raised, partially offset by asset sales in older vintage funds. Turning to our balance sheet. Our leverage ratio was 2.3x as of September 30 and includes the impact of several acquisitions completed during the third quarter. We continue to expect our leverage to decline to just under 2x by year-end. This assumes no significant additional acquisitions. We are maintaining our full year consolidated outlook. In our Real Estate Services and Engineering segments, we may exceed our previous full year guidance, while in Investment Management, we expect to be off slightly given the timing of fundraising and costs associated with unifying our operations under the HSAM brand. Putting it all together, on a consolidated basis, we remain confident we will meet our full year outlook. That concludes my prepared remarks. Operator, can you please open the line for questions?
Operator: [Operator instructions] Your first question comes from the line of Stephen MacLeod from BMO.
Stephen MacLeod: Just wanted to circle in on a couple of things. Just with respect to the Engineering margins in the quarter, you noted some service mix headwind. And I'm just curious if you could give a little bit of color around sort of what you saw in the quarter and how that weighed on your numbers or weighed on the margin, I suppose?
Jay Hennick: Well, Steve, you got to look at this on a net revenue basis. We have a lot of pass-through costs in Engineering, and those are at low or very low margins. So on a net basis, our margin was down very slightly. We're talking 20 to 30 basis points. And it really just is some service mix across our geographic markets.
Stephen MacLeod: And then just on the Investment Management business, obviously, strong fundraising on a year-to-date basis, and you guided to sort of being in the midpoint for your target for 2025, which is great. Just as we think about the additional costs, again, sort of weighing on the net margin this quarter. Can you talk a little bit about sort of how you see that evolving as you get into 2026? Or is it maybe too soon to talk about 2026 margins at this point?
Jay Hennick: Well, look, Steve, we don't want to talk about 2026 until year-end. We'll give a full outlook for 2026 at that point. But as it relates to Investment Management, in my prepared remarks, I did reference that we will have 2 or 3 quarters of headwinds from cost to unify the segment. So that will be a modest impact on the margin.
Christian Mayer: And let me add something to that, Steve. We are a public company. We have, over the years, brought together some pretty exceptional Investment Management platforms. And now we're taking steps to bring some of them together to really create a powerhouse under the Harrison Street brand. That takes costs, that takes time, that takes effort, and it will definitely translate into shareholder value over time. And other people just leave things alone. You've seen us do this before. And so we're doing some pretty interesting things to really solidify that business for the long term. And you'll see fundraising growth, which is wonderful. But that comes on new programs, new strategies, and a lot of that has to do with unifying the teams and sharing the best of the best across the board. So if we were a private company, you would never see this. But in a public company situation, which we've done before, there's some modest impact on margin here or there as we invest in our business, and we're going to continue to do that because for Colliers, it's about creating long-term value for shareholders.
Operator: Our next question is from Tony Paolone from JPMorgan.
Anthony Paolone: Just on Engineering, can you talk about what you think organic growth has looked like? It's a little hard to see just given all the acquisitions and such in there. And along the same lines, like when you do underwrite on these acquisitions, how do you think about what you expect from, say, the producers that you're bringing on in terms of growth in the top line there?
Jay Hennick: Tony, our year-to-date organic growth in Engineering is around 8%. And I think for the year, we guided to sort of mid-high single-digit area. So we're fully on track with our organic growth ambitions for the year, and we expect that to continue. We play in rapidly growing markets, infrastructure-oriented markets, transportation, energy, communications, public sector investments that are being made by governments, frankly, around the world. So when we look for acquisitions, we look for businesses that are playing in these sectors and where there are long-term tailwinds for growth in this highly fragmented industry. So that's the way we think about it.
Anthony Paolone: And then just a follow-up on that as it relates to the investment pipeline. Can you talk about just how that looks, sizes of the deals, like any larger type of transactions? And is it still skewed towards Engineering? Or are there other areas that you're seeing activity in?
Jay Hennick: Well, so far this year, we've made acquisitions in each one of our segments. But Engineering by far has been in terms of number of transactions, not necessarily size, but in terms of number of transactions. And Christian made a point, this is a massive, massive industry that's highly fragmented, multiple areas of specialty. And even our most mature businesses, we have white space -- we might have white space in one part of the country and strong expertise in that same area in a different part of the country. All of those create opportunity for acquisition. So for a company like Colliers that has been in the internal growth and acquisition or consolidation business for 30 years successfully, this is exactly what we look for in terms of a segment that we can grow. And so our philosophy, as you've seen and others have seen over the past 5 years has been to enter a market in a dominant way as one of the top players and then to fill out and strengthen that platform as we've done in Canada, as we've done in the U.S., and as we've done and continuing to do in Australia. So there's a whole big world out there in the Engineering space that creates just staggering amounts of opportunity in that area. And I'm hopeful over the next few years that we can double this business again in terms of both revenue and profitability. And our -- and I'm going on too long, but our unique way of operating with our partnership philosophy and decentralized operations, which we apply across the board and have forever, is really a difference maker for the targets. So we're excited about this space. And we think it will provide us with a huge growth opportunity in the years to come.
Operator: Our next question is from Himanshu Gupta from Scotiabank.
Himanshu Gupta: So just on IM fundraising, I mean, you have done almost $4.4 billion this year. What is the mix of that, like open-ended versus close-ended? And is that also impacting the margins apart from the integration cost?
Christian Mayer: Hello, Himanshu, that's a good question. And you're talking about fundraising and the mix of open-ended funds versus close-end funds. And then we also have now credit, which is a much bigger part of our business. And when you raise close-end capital, the fees turn on immediately and typically at a higher fee rate than an open-ended fund or a credit vehicle would. So that type of fundraising has more immediate impact on our revenues, and we are seeing that a little bit in 2025 as we have been very successful raising open-ended fund capital this year. We've also raised some pretty significant credit capital. And that open-ended and credit capital does not start generating fees until such time as we deploy that capital, which can take 3 to 6 months. Day referenced, we have $9 billion of dry powder, and that is capital that's ready and waiting to be deployed. So our teams are focused on that. And once that capital is deployed, it will start to earn fees.
Himanshu Gupta: And the next question is you're working on the integration of IM under this Harrison Street platform. Have you received any initial client feedback so far? I mean, as you integrate Rockford versus the Harrison Street? And I know it's early days, but still wondering if any client feedback on this process.
Jay Hennick: Yes. The client feedback has been terrific. In fact, that's been a major part of the efforts in bringing these operations together. What it really means is we can now use our debt capacity in areas that we have expertise in seniors and students and so on to -- so there's a lot of opportunity to do more with the same investments. So client reaction has been great. Also what the clients like is a more streamlined fundraising capability. They want to understand what are the investment opportunities for them. They'll choose which ones they have interest in, and then we can bring in the expertise to help satisfy their investment desire. So feedback has been very good to date, and our investors are responding by increasing the amount of capital they're allocating to us. It's never enough, as always, but it's a lot better than it has been in past years.
Himanshu Gupta: And clearly, it's in the right direction. And then just switching gears, on the leasing side. I mean, it looks like industrial leasing was strong. Any particular geography which is impacting that? And how much is tariff discussion now compared to first half of the year?
Jay Hennick: Well, Himanshu, leasing was led by the U.S. in the third quarter. Industrial and office, particularly strong. And if you recall, in the first half of the year, leasing was challenged. We had some tariff and trade impacts in the second quarter, which caused clients to pause, particularly on the industrial side of things. So we're feeling good about our leasing trajectory, and we expect leasing to be up nicely year-over-year as we finish the year in Q4 here.
Operator: Our next question is from Julien Blouin from Goldman Sachs.
Julien Blouin: I just wanted to go back to Investment Management. I mean, you touched on all the work you're doing to integrate the back office and the market-facing brands within Investment Management. I guess beyond the 2 to 3 quarters of margin pressure ahead from the integration costs, do you still feel like you can get to that 45% to 50% margin that we've talked about in the past? And will you wait until you get to those margin levels before considering any of the strategic options you've talked about in the past for realizing the value of that segment?
Jay Hennick: Well, to be honest, for us, what's more important is growing out this platform and making it as strong as possible. So we -- over the next couple of quarters, we sort of have a clear view of where our margin may go to. But we're going to continue to invest in our platform to make it as strong as possible. We are open -- we continue to be open for acquisition opportunities in this segment. There's tons of white space, and there's tons of opportunity right now, as you probably know, with lots of players in this particular segment talking to each other about potential hookups in one form or another. So we're active all over the place, and we'll have to see how the next few quarters roll out. But from my perspective, we're building this business for the long term. And if we have to give up a few points of margin to continue to build our business and generate 20% plus growth internally, we're going to do it. It's just that simple. So I don't know if that answers your question, but that's sort of the way in which we would be looking at that business going forward.
Julien Blouin: And then maybe digging into capital market, can you give us a sense of how October and the fourth quarter is shaping up and maybe where pipelines of activity stand versus this time last year?
Jay Hennick: Yes. Good question, Julien. We had last year a very strong quarter in capital markets. And this year, the pipelines are looking solid, and we feel confident at this point in our prospects for the fourth quarter, and we should be able to exceed our performance of last year, which, as I said, will be a relatively tough comp compared to the comps we've seen so far year-to-date.
Julien Blouin: And when you say exceed your performance from last year, you mean just that it should grow year-over-year?
Jay Hennick: Absolutely.
Operator: Our next question is from Erin Kyle from CIBC.
Erin Kyle: I just wanted to tag on to that last question there and see if you can maybe elaborate a bit more on the pace and breadth of the capital market recovery. And if there's any particular regions, I know you called out the U.S., or asset classes that are leading the improvement?
Christian Mayer: Yes. I think the capital markets recovery is broad-based. And we highlighted a few asset classes where sales brokerage has been strong, or sorry, a few geographic markets where capital markets growth has been strong. But Erin, I really would make the comment that this is a multiyear recovery. It is really a global recovery. If you recall, 2023 was a very challenging year in Europe, in particular. Our European business is really well positioned to capture the rebound in activity, and that's been evident in the numbers year-to-date, and that's going to continue as we look ahead to Q4 and into 2026. So I think it's really, as I said, broad-based across all geographies.
Jay Hennick: But I would also say, Christian, if I could add something there. Capital markets isn't back yet anywhere. There's strength, as Christian said, in the U.S. But I would say, in Europe and Asia and even to some degree in Canada, there's more transactions happening, but it's taking time. I don't think there's the stability yet around interest rates, debt costs, et cetera. And investor confidence is not where it needs to be. All of that is, to my way of thinking, tailwinds because even in our own fund business, Christian made a point of saying that we've sold a whole bunch of assets, which is a normal -- it's normal course in the fund business. You redeploy assets and to investors on an ongoing basis when it's opportune to do it. So there's a lot of pent-up demand around capital markets, but we haven't seen it yet. We've seen some of it. It has not come back to where it used to be. And that to us is just upside for our -- for the future.
Erin Kyle: And then you started answering my second question there, but I just -- in Investment Management, could you remind us how many funds are going through the disposition phase? And then what percentage of those funds are typically recycled?
Jay Hennick: Well, most funds are always looking at disposing of assets at opportune times. Usually, you'll see the older funds, the older close-end vehicles selling out their assets faster. But it's a function of what they can generate in terms of returns. If a particular asset is not yet fully developed, not yet fully leased, upside still to be gained, you won't see our asset managers wanting to sell those assets because they know there's inherent value in them. So it's really part of the art of managing and delivering top-tier returns to investors. When is the opportune time to sell? Which assets within the portfolio do you want to sell? Do you want to put together 2 or 3 assets so that you're actually selling a portfolio so that a larger player can buy it and get -- and hopefully pay a higher price? Of course, netting our funds and investors more in returns. So it's really the art of the asset managers, and we have -- one of the unique advantages we have, and it really applies across our business is that our key players own an equity stake in the business. So not only are they incentivized to deliver great returns for their investors, they also are incentivized to deliver great returns for shareholders. So that's how I would answer your question.
Operator: Our next question is from Mitchell Germain from Citizens Bank.
Mitch Germain: Jay, I'm curious, you've done some M&A across the services platform. I think Greystone and Triovest were a couple of deals that you've announced in the last couple of months. How do you kind of -- how does that fit in the puzzle when you consider hiring as well? I'm curious about the pace of hiring that you're doing? Or is it really just more on the M&A side that you're investing there?
Jay Hennick: Well, each of our businesses are active recruiters of top talent. And I know on these calls, we talk about M&A. But in our numbers, and you probably know this, and I'm sure you've discussed it with Christian over the years, we have significant expenditures around recruiting top talent to fill white space in different geographic regions, which has an impact, a negative impact on our margins. And so I would say -- and we have specific goals. We have a large group of -- a large department within each of our regions that are, we think, very good at what they do. And so recruiting and retention, especially in areas of white space is a key part of what we do and gets lost somewhat in the discussion around internal growth. So internal growth, for example, in the residential business this quarter was 8%, I think. 13%. So it was actually much higher than that, but we would have borne some of the cost of recruiting in that 13%.
Christian Mayer: No, that was the revenue number. So -- but I would add that in terms of our margin, it does impact our margin, Mitch, on an ongoing basis. And we've seen that year-to-date. In the third quarter, we had tremendous operating leverage from higher revenues. But notwithstanding that, we still have a margin pressure from recruiting, and that's a cost we're prepared to bear because we're recruiting top professionals and adding new capabilities in asset classes and in geographies, and that's something we're going to continue to do.
Jay Hennick: Yes. I was thinking margin. I'm sorry, Mitch. I was thinking about margin and the impact on the margin. So thanks, Christian, for clarifying that.
Mitch Germain: Yes. And Jay, I understood where you were headed there. A lot of your peers, Jay, talking about capturing this enormous data center opportunity. You cited it in your earnings release. I'm curious if -- say it differently, I'm curious how you're positioning Colliers to potentially benefit down the road from this growing sector?
Jay Hennick: Well, that's a great question, and I'm glad you asked it because I've been listening to some of the other players in the real estate services space who've been very vocal about data centers, portraying them as some sort of new major growth engine. And for most of these players, data centers is just another asset class. They help clients buy, sell, lease, finance data centers when they're able to do that. At Colliers, we do much more than that. In addition to those services, which are significant for us, Colliers also designs. We entitle land for development. We do project management and program management on both construction and maintenance through our Engineering group. And through our Investment Management segment, we also invest in data centers, creating really a full cycle capability. And so while data centers are getting a lot of attention these days, and they're strategically important to us at Colliers because for us, it's not just the Real Estate Services piece of it, it includes so much more. And as I listen to some of our other peers, I smile because they're really just providing traditional Real Estate Services around another asset class that happens to be hot right now. There are only a few, Colliers included, that are actively involved in the entire life cycle of data centers and so much more than just data centers. So a big part of our business, it's strategically important. It will continue to grow. It's probably our rapidly growing -- our fastest-growing segment across the board, although still not material to us from a percentage of revenue point of view. I hope that sort of puts it into perspective for you, but that's how we see it.
Operator: Our next question is from Daryl Young with Stifel.
Daryl Young: Just one question for me related to commercial real estate services. I wanted to get a sense of whether you're seeing any green shoots on construction activity or we're still early in the cycle. And I guess, just the magnitude of what you would see as upside from that over the next couple of years?
Jay Hennick: Well, it depends on what construction activity you're talking about and in what markets. So I would say that the construction of condominiums in Canada and the U.S. is soft. You're seeing some construction in multifamily or build-to-rent. There's obviously lots of activity around data centers and related infrastructure assets. And it's a little bit the same in Europe, although it's smaller numbers. So new construction is really at a pause from our perspective right now, which is creating a lot of pressure for companies that were traditionally focused on this type of construction from the ground up.
Operator: Our next question is from Jimmy Shan from RBC Capital Markets.
Khing Shan: Just a couple of questions on the operating leverage within real estate services. So this quarter we did see roughly $100 million of year-over-year revenue growth, and then we saw EBITDA grow by $23 million. So I think that's the leverage math that you've spoken about before. Is that how we should be thinking about the leverage as we look out to '26, I guess, #1? And then secondly, maybe if you could speak generally about sort of the excess capacity that you see within the organization. If volume continues to come back the way it has been, how well staffed are you today?
Jay Hennick: Well, Jimmy, the operating leverage math that you quoted there is absolutely correct. So we had about 22% operating leverage on an incremental revenue dollar in Q3, and that's in line with what was telegraphed over the last several quarters in terms of what our expectations are. And as revenues continue to grind higher here, and this is a gradual recovery in capital markets and leasing is also on a growth trajectory. As those revenues increase, we should hopefully continue to see that 20-plus percent operating leverage through 2026.
Khing Shan: So in general, would you say there's a lot of excess capacity still?
Jay Hennick: Yes. I mean we have a tremendous amount of productive workforce on the ground, 4,500 productive brokers around the world. And we continue to invest and add new brokers and new geographies and new asset classes. So these folks are primed and ready and highly, highly motivated to generate additional commissions for themselves and for the firm. So we expect that these folks will contribute more and become more productive as the market improves. And as I said earlier, I mean, the market hasn't even returned to where it used to be. And the number of brokers that we have in the organization is up probably 15% from our high capital markets production number globally, I'm talking about. So I think as capital markets continues to gain strength, we'll be able to do substantially more revenue at high margins with a workforce that's larger today than it was at the high.
Khing Shan: Right. And then just on that topic in terms of kind of future tailwind, with respect to office leasing and capital markets, the recovery so far, it seems to have been a little bit more weighted towards the major markets in the U.S. And I could be wrong here, but I think your footprint in the U.S. tends to be a little bit more secondary markets. So is it fair to assume that to the extent we see the same sort of recovery in those non-coastal, non-major markets, we should expect a little bit better upside in the future?
Jay Hennick: So first of all, let me put our business in the U.S. into perspective. We are 1, 2, or 3 in virtually every market, large, small, with 1 or 2 exceptions in the U.S. So we're one of the top players everywhere. And so from the standpoint of where the revenue will come from and where we can translate it. Yes, major markets generally generate higher revenues in part because the lease rates within those markets are significantly higher than they might be in a secondary market. So it's really all over the map. For those -- for those of our competitors that might have a much bigger business in, say, New York City than we do in terms of number of brokers, they would obviously generate more revenue on leasing in New York when leasing revenues are up versus us relative to size. But I think we're -- Colliers is 1, I would say, 1 of 2 well-balanced globally real estate services firms with strong market positions everywhere. We would like to be bigger in certain markets, of course, but we're a well-balanced business. And if you look back over the past couple of years, at a time when real estate services has gone through some very soft times, Colliers continued to perform quarter after quarter after quarter, which has just shown the resilience of our business. And we're waiting for -- and we're continuing to strengthen making our business better. And as markets continue to get stronger, we expect our results to follow.
Operator: Our next question is from Stephen Sheldon from William Blair.
Unknown Analyst: You've got Pat on for Stephen today. My first one, with the relative strength you're seeing in leasing and capital markets. Can you just touch on the puts and takes in terms of maintaining your real estate services revenue guide for the year? Were there any overly significant deals that came through this quarter? Or any dynamics we should be thinking about across those 3 services subsegments heading into the fourth quarter?
Christian Mayer: No, there's nothing -- no lumpy transactions in the third quarter of note. And to achieve our full year guidance, we do want to see an increase in capital markets activity year-over-year. And as I mentioned, capital markets had a very strong fourth quarter in 2024. So it is a tougher compare, but we do see the pipeline there for continued growth. Leasing should trend positively for the fourth quarter as well. That's really a global thing across all of our services. And in our outsourcing business, that's the recurring part of our real estate services business. We've got a very strong trajectory in our valuation and advisory business, and we expect that to continue as well as increasing property management and loan servicing revenues. So we feel pretty good about all of these services, and there's nothing lumpy or unusual to note.
Unknown Analyst: And Jay, just to piggyback off of a prior question and your prior commentary on data centers. I understand you all have significant capabilities across the portfolio there, including in the Investment Management business. But I wanted to ask, as you expand your platform through continued M&A, is it of interest to build out more technical capabilities on the services side? And as you think about that, what are you seeing in terms of the valuations for that type of asset?
Jay Hennick: Well, first of all, across the Engineering segment, which is, as I mentioned, it's about $1.7 billion now on a global basis. We do a lot of technical services today as do most engineering firms. So I don't know how many data centers we're doing globally now in some form or another, but it's a substantial number. Having said that, the acquisition costs of any firm that is around data centers right now, whether they're constructing them, whether they're project managing them, et cetera, servicing them or managing after the fact are very high. And from our perspective, we are -- we can't see a return in investing at those kinds of valuations. We're very happy continuing to build out our Engineering segment that serves it and continuing to look for more opportunities to finance and own data centers because that creates opportunities for us to potentially do more in the future. But valuations are high in that space, as you would expect.
Unknown Analyst: And if I could just ask one more quick clarification, Christian, unless I'm looking about -- I am looking at this incorrectly, I think the guidance for Engineering implies that the 4Q growth takes a step down organically unless there's some sort of volatility in the pass-through costs there. Am I looking at that correctly? Or is there anything we should be thinking about there?
Christian Mayer: Yes, you're looking at that correctly. There could be a small step down in organic growth in the fourth quarter. I'll remind you that we did indicate on a full year basis that organic growth would be in the mid to high single-digit range, and we'll be firmly in that range for the full year. And we've been outperforming to that for the first 3 quarters.
Operator: Our next question is from Maxim Sytchev from National Bank Capital Markets.
Maxim Sytchev: Jay, I wanted to go back to your prepared remarks. And I think you made a comment, and unless I misunderstood, but the $9 billion of dry powder across the organization, do you mind maybe expanding a little bit on that figure unless I, again, misinterpreted it?
Jay Hennick: I didn't really hear that. I didn't hear.
Christian Mayer: He was asking about the $9 billion of dry powder we have across the organization and if we have any more details on what that is.
Jay Hennick: We do. We have all the details. But I think it's an aggregate number that we feel comfortable giving you. It's made up of all of the available capital across the funds, including alternatives, including debt, et cetera, et cetera. So it's an amalgam of all the capital available. And even if I gave you the breakdown, it wouldn't add much value because it's when you deploy that capital that it translates into returns. So as Christian said, in the debt space, our fee structure is lower than it is in our open-ended and close-ended funds. So it really depends upon putting that money to work and in what area and what kind of revenue we'll generate once that money is put to work. So I think $9 billion is a good number way back -- way more than it was last year. And we're just looking for the right opportunities to deploy that capital virtually across the board.
Maxim Sytchev: And I apologize for my connection. And another question I had in relation to the Australian foray on the Engineering side. Do you mind maybe talking a little bit about the reason why you went into that geography? I mean it has been a bit sluggish. So is the thought process that right now, you're kind of picking it up on a trough? Maybe any color would be very helpful there.
Jay Hennick: Max, the acquisition we announced last night is a well-established urban development consultancy and engineering firm operating in Adelaide. It's a market that is of significant size in the Australian sort of geography and a place we want to expand to. It's a relatively small firm, with 65 staff. So we were able to do this transaction, add these folks to our established platform, which I think, I believe we've got well north of 500 people now in our Australian engineering business, and these folks will tuck in to that business, and they will be nicely accretive for us. And we're able to do these tuck-in acquisitions, as you know, at very attractive valuations. So that makes this all the more compelling for us.
Operator: Question is from Frederic Bastien from Raymond James.
Frederic Bastien: On Max's question on engineering. Really excited to see this segment perform strongly, and you continue to partner with industry leaders, both you saw that in Canada and Australia, but it really feels like it's the real deal here. And it feels like you're only scratching the surface. You've got good scale right now in Canada with Englobe. But can you comment on the potential for additional growth in the U.S., Australia, and Europe? Europe seems like there's massive opportunity there that you're still waiting to tap.
Jay Hennick: You've sort of summed it up beautifully. The U.S., we'd like to be growing faster. We're growing nicely there, but we'd like to be growing faster. So that's a big opportunity for us. Canada, we're doing phenomenally well there, and we're excited about that. Australia, Australia is doing nicely. As you can see, a lot of these smaller deals. There's not a lot of big players in Australia. So we're putting together our platform one step at a time. Europe is a big opportunity. We're spending a lot of time there. And there are some very interesting platforms that we've been considering. And again, our partnership philosophy and our decentralized operation is attractive to large partnerships that don't really want to be acquired 100% by somebody else. They want to continue to own an equity stake in the business and be part -- participate in the future growth in this segment and take advantage of relationships that we might have across the platform, whether it's in real estate or it's in investment management. So we -- as you've seen so many times, Fred, over the years, as you followed other engineering firms, the segment is so massive. It's bigger than I even thought initially, and the white space keeps expanding. So we think that this is a great growth engine for us for many years to come, and we're just going to continue to build. We don't have to be the biggest. We just have to be one of the best, and we have to have a unique differentiated strategy, and we believe we have that. So one step at a time got us to $1.7 billion in 5 years. Hopefully, we can follow the same format and double the size of it over the next couple, 3 years.
Frederic Bastien: Last question for me. Regarding the Astris and Triovest deals that you completed on the RES side. They've only been contributing for a few months, but I was wondering if you could provide an update on how these businesses are performing under the Colliers umbrella?
Jay Hennick: Still too early to say. Triovest has been an asset that we've sought after for a lot of years. It's highly -- it's almost entirely recurring revenue. And we're in the process of integrating that into our Canadian property management operations. Interestingly, there are some clients -- Canadian clients that have assets in the U.S., that have asked us to take over some of those assets. So that's in process. So we're quite excited about Triovest, and we're also in the process of rebranding it. And just to make the point one more time, whenever you do these things, it takes cost, it takes time, it takes effort. When you make acquisitions, you have to integrate those acquisitions. And somebody commented on our engineering margin down 20 basis points in the quarter, like it's 20 basis points. Give me a break. So Triovest, as I said, is going well, and we're excited about what that can do for us. And there was another acquisition in real estate, a company called Astris, which has so far been overperforming. We had a bit of an advantage with that acquisition because they had already had relationships with our investment management platforms in a couple of different areas. So we had a good sense for the quality of the professionals. And we're seeing increased potential opportunity around financing infrastructure, mid-market infrastructure businesses through the Astris professional. So we're cautiously optimistic that that will be another successful business and service offering that we can build over the next few years.
Operator: There are no further questions at this time. I would now like to turn the conference back to Mr. Hennick. Please continue.
Jay Hennick: Well, thank you, operator, for passing it back, and thank you to everyone for participating, and we look forward to speaking again in our -- at our fourth quarter results in February. So thank you. Have a great day.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for your participation, and have a nice day.